Operator: Good morning, ladies and gentlemen, and welcome to the Goodfood Q4 and Fiscal 2025 Earnings Call and Webcast. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, November 27 at 8:00 a.m. Eastern Time. Furthermore, I would like to remind you that today's presentation may contain forward-looking statements about Goodfood's current and future plans, expectations and intentions, results, level of activity, performance, goals or achievements or other future events or developments. As such, please take a moment to read the disclaimer on forward-looking statements on Slide 2 of the presentation. Please be aware that during the call, presenters will refer to certain metrics and non-IFRS measures. Where possible, these measures are identified and reconciled to the most comparable IFRS measures in our MD&A. Finally, let me remind you that all figures expressed on today's call are in Canadian dollars, unless otherwise stated. I would now like to turn the meeting over to your host for today's call, Mr. Neil Cuggy, President and COO, Mr. Cuggy, you may proceed.
Neil Cuggy: Thank you. [Foreign Language]. Good morning, everyone. Welcome to our Goodfood Earnings Call in which we will present our results for the fourth quarter ended September 6; Roslane Aouameur, our Chief Financial Officer is with me today. You can find our press release, presentation and other filings on our website and SEDAR+ and all figures on this call are in Canadian dollars unless otherwise noted. Let's begin with Slide 3. Fiscal 2025 was a challenging year for us and the overall industry. Yet we continue to demonstrate resilience and delivered positive adjusted EBITDA for the full year and now 11 consecutive quarters, along with positive adjusted free cash flow. For fiscal 2025, adjusted EBITDA was $6 million, representing a 5% margin compared to $9 million or a 6% margin the previous year. While the adjusted EBITDA is lower year-over-year, in the tough environment faced this year, it underscores the flexibility and resilience of our cost structure and the disciplined execution of our teams demonstrated. In fiscal 2025, we prioritized investments that strengthened the overall business and our customers' experience. Beyond the traditional meal-kit, we introduced the new features to help customers manage their deliveries better and customize their orders more easily and also introduced new products like our Heat & Eat trays in Quebec. These customer-driven innovations have helped drive record basket sizes as more members are choosing to build out their orders with a wider variety of meals and grocery add-ons. Our investments in fiscal 2025 also went beyond our platform. Our acquisition of Genuine Tea is proving to be both growth and margin accretive. The brand is growing sales at over 30% annually while delivering consistent and healthy EBITDA. Genuine Tea's growth supported by strong secular tailwinds has helped offset meal-kit top line weakness. Beyond financial performance, it has provided the blueprint for our M&A strategy acquiring growing cash flow-generating businesses with strong leadership that could benefit from our platform and marketing, human resources, finance and logistics networks. While we continue to remain prudent on capital allocation, given our limitations, we are looking to accelerate our M&A strategy. With those highlights in mind, I will now turn it over to Ross for a closer look at the financials.
Roslane Aouameur: Thank you, Neil. Let's move to Slide 4 to discuss our top line metrics. Net sales for the fourth quarter were $25 million, down $9 million year-over-year. The year-over-year decline reflects a lower active customer base, 66,000 this quarter versus 101,000 last year. The lower active customers, which are customers who placed an order during the quarter are in part driven by lower order rates, but also a result of reduced marketing and incentive-led promotions. Overall, the headwinds in meal-kit demand persisted in this quarter and in the last 2 quarters of fiscal 2025. With that said, net sales per active customer did increase 12% year-over-year to $379 this quarter, driven by higher basket sizes and lower incentives. This was also the result of our expanded product offering like Heat & Eat, which we launched in late fiscal '25 as well as our strategy to drive higher quality cohorts through lower incentive promotions. Overall, our lifetime value curves have moved up as lower incentives bring in better customers and compounded with higher basket sizes have improved the economics per customer. We will now turn to Slide 5 to discuss margins and profitability. Gross profit came in at $10 million in the fourth quarter, with gross margin at 40.3% for the quarter, up 220 basis points from last year. The margin improvement was mainly the result of reduced incentive promotions. Adjusted EBITDA was $0.4 million for the fourth quarter or 1.7% of sales, relatively flat compared to the $0.5 million or 1.5% of sales last year, despite fixed costs being amortized on a lower order and sales basis. Our consistent SG&A discipline helped with stability or even minor improvements in margin. As Neil mentioned, this continued discipline in our efforts to bring flexibility to our cost structure have helped achieve this 11th consecutive quarter of positive adjusted EBITDA. Moving now to Slide 6. Cash flow from operations was a positive $0.3 million this quarter compared to negative $0.9 million last year. Adjusted free cash flow came in at $1.7 million, a $2.8 million improvement year-over-year or $1.5 million improvement over Q3. Capital expenditures were $0.2 million, largely related to maintenance and the kitchen relaunch at our Montreal facility. Overall, we generated positive adjusted free cash flow in 6 of the past 8 quarters, reinforcing a more stable financial foundation even as we adjust to current market dynamics driving a lower customer base. Turning to Slide 7, which summarizes our key financial metrics this year. In fiscal 2025, we worked very hard to maintain and in some instances, improve our profitability core metrics. In the face of sales declining 21%, we were able to bring in gross margin to 41.7%, a 50 basis point improvement compared to fiscal '24 and adjusted EBITDA margin to 5%, down only 90 basis points and adjusted free cash flow to $2.2 million, a second year with positive adjusted free cash flow. The results cement our discipline in managing our cost structure and the discipline our teams have displayed over the year. With that, I will now pass it back to Neil to walk through our outlook.
Neil Cuggy: Thank you, Ross. Let's now turn to Slide 8. Fiscal '25 had its fair share of obstacles. As we look forward, we can expect a meaningful evolution of the company in the coming months, quarters and years. In August, we welcomed our new Chairman, Selim Bassoul, and began an operational review focused on product evolution, customer experience and acquisitions. While the review remains ongoing, its conclusions will focus on ensuring the Goodfood meal solutions, both meal-kits and Heat & Eat meals provide customers with the experience and value that stabilizes the top line and brings delicious excitement to our members. Our digital platform also needs to provide the flexibility that enables customers to order our product with limited friction. Beyond Goodfood's meal solutions, we will also focus on acquisitions to leverage the platform Goodfood built over the past 11 years. With Genuine Tea as a great case study, we can build a portfolio of businesses that can benefit from the expertise and infrastructure built over the years. This will require continued discipline and prudence in deploying limited capital. In the near term, we do expect to maintain cost structure resilience as we continue to see demand challenges in the meal-kit market. This trend is affecting Goodfood and is also present across the competitors around the world. Heat & Eat is progressing well and nearing $4 million of annualized sales and Genuine Tea is continuing to grow profitably, helping partially offset meal-kit performance. In closing, we have a strong belief that we can maintain capital allocation and cost structure discipline to build shareholder value through internal initiatives like the encouraging Heat & Eat launch and external initiatives like the Genuine Tea acquisition. With that, I will now turn it over to the operator for the Q&A.
Operator: [Operator Instructions] And your first question comes from Etienne Larochelle with Desjardins.
Etienne Larochelle: First off, in your comments on the operating review, you mentioned a focus on product evolution and a desire to refine your offering. I was wondering if you could please share an example or 2 on what type of changes you're looking to make on that front.
Neil Cuggy: Etienne, thanks for the question. Like we said, I think it's still early days, like Selim has been in the business for about just under 90 days, I believe, and has spent a lot of time with the management team and myself, starting to really understand the levers that the business has, while the kind of macro landscape and competitor headwinds still exist. I think at a high level, it continues to be lean into Heat & Eat, focus on convenience and try to deliver as much value as possible. So things that our team has been executing well over the past couple of years and many quarters. So high level, it would be around that, and then we'll disclose more as we come through the next earnings calls.
Etienne Larochelle: Okay. Got it. And also, you mentioned that tuck-in M&A, like Genuine Tea is something you're still interested in going forward. Could you please share an update on how's the M&A pipeline looking right now? And perhaps just give us a reminder on what type and size of the targets you're looking at.
Roslane Aouameur: Yes. Thanks, Etienne. I think the pipeline is healthy. I think at the size we're looking at, which you can -- be around -- Genuine Tea is around the $5 million sales, we're probably looking slightly higher up in the sales category, so call it $10 million-plus. I think the pipeline is healthy. But the deals do take time in the sense that the businesses tend to be smaller, sometimes a little less structured from an information perspective. So I think we've had LOIs and diligence. It doesn't always convert. But I think we're continuing to not only explore but advance some specific situations. We have targets on what we're looking for. It's the execution is sometimes a little longer at the size we're looking at.
Etienne Larochelle: Okay. That's helpful. And maybe a last one from me. Active customers were down to 66,000 this quarter. I was wondering if you could maybe guide us on how active customers should track over the next 2 quarters? And do you have some sort of visibility on meal-kit demand stabilization in North America in the near future? Or is it still too early?
Roslane Aouameur: Yes. I think it's -- the stabilization across North America isn't quite here yet. That said, I think Q4, as you know, is -- has seasonality embedded in it. It is the summer months where people travel and spend more time outside than necessarily in their kitchen cooking. With that said, yes, we're seeing -- we're pretty realistic in seeing headwinds from meal-kit demand perspective. Hence, one of the pieces of the operating review being how do we bring the value and make sure that the customers see that and what kind of meal solutions, what kind of convenience they're looking for and then make sure to execute on delivering that. I think over the next few quarters, we are expecting the headwinds not to fully abate, but to definitely be near their peak. With that said, there are structural challenges to the market that we're fighting through.
Neil Cuggy: And maybe, Etienne, if I can add to that. I think the other thing that's exciting right now is the Heat & Eat portfolio, we're able to sell a separate subscription now. So if you go to the website and try to sign up, you have our classic meal-kit weekly subscription and then you have also our Heat & Eat subscription. So that's actually providing us 2 different sales options to customers. And the Heat & Eat on-sub subscription is growing quite well and makes up a small portion of the $4 million annualized run rate, but a very fast-growing portion. And we're able to kind of tackle that market. And then as we said in the prepared remarks as well, we have been very, very focused on acquiring more profitable customers. So our 12-month lifetime value or 24-month lifetime value are up substantially over the past couple of years and are tracking really well on a quarter basis.
Etienne Larochelle: Okay. That's good color. That's all I had.
Neil Cuggy: Thanks, Etienne.
Operator: And I'm showing no further questions at this time. I would like to turn it back to Neil Cuggy for closing remarks.
Neil Cuggy: [Foreign Language] Thank you for joining us on this call. We look forward to speaking with you again in the near future on our next call. Have a great day.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.